Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Vera Bradley Third Quarter Fiscal 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session and instructions will be provided at that time for you to queue up for questions. As a reminder, today’s conference is being recorded. I would now like to turn the call over to Mark Dely, Chief Legal Officer. Please go ahead, sir.
Mark Dely: Good morning and welcome, everyone. We would like to thank you for joining us for Vera Bradley’s third quarter earnings call. Some of the statements made on today’s call during our prepared remarks and in response to your questions may constitute forward-looking statements made pursuant to and within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from those that we expect. Please refer to today’s press release and the company’s Form 10-K for the fiscal year ended January 30, 2016, filed with the SEC for a discussion of known risks and uncertainties. Investors should not assume that the statements made during the call will remain operative at a later time. The company undertakes no obligation to update any information discussed on the call. I will now turn it over to Vera Bradley’s Chief Executive Officer, Rob Wallstrom. Rob?
Robert Wallstrom: Thank you, Mark. Good morning, everyone, and thank you for joining us on today’s call. I’m joined today by Kevin Sierks, our CFO; Theresa Palermo, our Chief Marketing Officer; and Sue Fuller, our Chief Merchant, is also here to respond to questions following our prepared remarks. The third fiscal quarter was an important one for our company with the launch of Vera Bradley’s new brand positioning supported by our comprehensive marketing initiatives, select store remodels, and the opening of our new SoHo flagship. We are pleased with the improved consumer engagement driven by these initiatives. We experienced improving traffic trends in our stores and online in conjunction with our brand relaunch and marketing efforts earlier in the quarter. However, the overall retail environment remains very challenging. Our third quarter diluted EPS of $0.20, excluding a $0.04 per share positive tax adjustment was modestly below our guidance range, largely due to continued weakness in the specialty channel and incremental promotional activity in our factory stores. In addition, verabradley.com sales were below expectations, primarily due to reduced levels of retirement product. Recovery is a long process, and it is taking time to transform and reenergize the brand, so they will become top of mind for consumers. We believe, our focus on evolving our product offerings, while honoring our heritage; working to distribute our products in the most impactful channels; and enhancing consumer engagement and traffic through our marketing and rebranding efforts are the right ones for the future of the company. We believe that we have the unique opportunity to expand our customer base and grow our company over time. They know that there’s still a lot of work ahead. In the meantime, we continue to closely manage, both our distribution channels and our expense structure while prioritizing customer-facing investments. Given the headwinds we are facing, particularly in the wholesale channel, our fourth quarter revenue expectations are well below our initial thoughts, which is putting pressure on gross profit, our ability to leverage SG&A and our EPS. Let me now turn the call over to Kevin who will discuss our third quarter financial performance and fourth quarter outlook. Kevin?
Kevin Sierks: Thanks, Rob, and good morning. Let me go over a few highlights for the quarter. Current year third quarter net revenues totaled $126.7 million, modestly below our guidance of $128 million to $133 million. Prior year third quarter revenues also totaled $126.7 million. Prior to the previously mentioned income tax benefit, net income totaled $7.2 million, or $0.20 per diluted share. Prior year third quarter net income was $10.3 million, or $0.27 per diluted share. Direct segment revenues totaled $86.1 million, or 2.3% increase over $84.1 million last year. This revenue number reflects a comp sales declines, including e-commerce of 5% for the quarter, which was more than offset by new store growth. Comp sales continue to be negatively impacted by year-over-year declines in traffic. In Direct segment, revenues decreased 4.6% to $40.6 million from $42.5 million last year, primarily due to lower orders from our specialty retail accounts, partially offset by higher sales to certain department stores and non-department store key accounts. At quarter-end, the number of specialty accounts remained essentially flat at around 2,600. Gross profit totaled $72.9 million, or 57.6% of net revenues, compared to $73.3 million, or 57.9% of net revenues last year. The year-over-year 30 basis point gross profit percentage decline primarily related to modestly increased promotional activity at our factory stores, which also caused gross profit percentage to fall modestly below the low-end of our guidance range of 58% to 58.5%. SG&A expense totaled $61.8 million, or 48.8% of net revenues in the current year third quarter, compared to $57 million, or 45% of net revenues in the prior year. SG&A dollars increased over the prior year, primarily due to expenses related to new stores, incremental marketing and 600,000 of store impairment charges. The SG&A expense rate was slightly higher than our guidance of 47.6% to 48.6%, primarily due to lower than expected revenues. Operating income totaled $11.4 million, or 9% of net revenues in the current year third quarter, compared to $16.8 million, or 13.3% of net revenues in the prior year third quarter. By segment, Direct operating income was $17.1 million, or 19.9% of sales, compared to $19.3 million, or 22.9% of sales in the prior year, and Indirect operating income was $16.9 million, or 41.7% of sales, compared to $19.1 million, or 44.8% of sales last year. Cash and cash equivalents and short-term investments as of October 29, totaled $83 million compared to $61.8 million at the end of last year’s third quarter, and we had no debt outstanding at quarter end. Quarter end inventory was $95.7 million compared to $118.2 million at the end of last year’s third quarter and at the low-end of our guidance range of $95 million to $100 million due to diligent inventory management. During the third quarter, we continue to repurchase shares under our $50 million repurchase program. We repurchased approximately $7.6 million equating to approximately 523,000 shares at an average price of $14.58. Now, let’s talk about our outlook for the fourth quarter and full-year. Our guidance reflects the extremely challenging retail and competitive landscape. Keep in mind that as I discuss our prior comparisons, the current year numbers excludes the previously mentioned tax adjustment and prior year numbers excludes the manufacturing facility closing and other excluded charges outlined in our release. For the fourth quarter, we expect net revenues of $135 million to $140 million, compared to prior year fourth quarter revenues of $154.1 million. We expect Direct segment net revenues to be flat to down in the low single-digit percentage range, with a comparable sales decrease, including e-commerce in the mid single-digit percentage range. We believe our fourth quarter Indirect net revenues will be down significantly in the 35% to 40% range, reflecting a meaningful reduction in orders from specialty retailers, as well as modestly lower than originally expected orders from the department stores and other fee accounts. The gross profit percentage for the fourth quarter is expected to range from 55.9% to 56.2% compared to 58.2% in the prior year fourth quarter. The decline reflects expected increased promotional activity in our factory stores. SG&A as a percentage of net revenues is expected to range from 46.1% to 46.7% in the fourth quarter compared to 42.1% in the prior year fourth quarter. The expense deleverage is primarily attributable to the expected revenue decline. We expect fourth quarter diluted EPS to be in the range of 23% to 25%. This compares to diluted EPS of $0.41 in the prior year third quarter. For the full-year, we expect net revenues of $486 million to $491 million, compared to $502.6 million last year. Our revenue guidance includes Direct segment net revenue growth in the low single-digit percentage range, with a comparable sales, including e-commerce decrease in the mid single-digit percentage range. Indirect net revenues are expected to decline in the low to mid-teen percentage range for the full-year. The gross profit percentage for fiscal 2017 is expected to range from 56.8% to 56.9%, compared to 56.6% last year. The planned improvement reflects sourcing and operational efficiencies and increased sales penetration of higher-margin MFO products, partially offset by increased promotional activity in our factory stores, as well as product mix changes. Gross profit margin improved in the first-half of the fiscal year and is under pressure in the second-half of the year. SG&A as a percentage of net revenues is expected to range from 49.5% to 49.7% for fiscal 2017 compared to 46.6% last year The expected increase primarily relates to the lower revenue base, as well as incremental expenses associated with new stores, severance and second and third quarter store impairment charges. Our year-over-year marketing spend will approximately be flat with last year. We’re lowering our full-year diluted EPS guidance range to $0.62 to $0.65, which includes $0.04 of second and third quarter asset impairments and excludes the previously mentioned $0.04 per share tax benefit. On a comparable basis, adjusted diluted EPS totaled $0.82 last year. We expect inventory to be a $100 million to $110 million at the end of the fiscal year, compared to $113.6 million at the end of last year. Net capital expenditure should total approximately $20 million for the full-year, primarily related to new store openings, store renovations, and continued technology investments. Let me turn the call back over to Rob who will update us further on the business. Rob?
Robert Wallstrom: Thanks, Kevin. Let me make a couple of comments on product. We are continuing to build functionality and innovation into our core classifications of fashion bags and accessories, travel and campus, and continuing to add additional products to enhance your lifestyle, such as in home and beauty. Creating beautiful solutions for our target customer is always top of mind. During the third quarter, we drove our back to campus initiative by focusing on our core business and added enhanced functionality, along with expanding our new collegiate initiative to representation of over 70 schools. We also drove innovation in our core business of bags and fashion accessories by adding such features as RFID and charging capabilities and introduced our Gallatin Relaxed Leather Collection, and as usual, we also distributed several new Signature patterns and colors during the quarter. Patterns strength continues to be critical as both the cotton and Lighten Up make up over 60% of our direct sales. We also just announced three additional licensing deals for Bedding, Hosiery, and Swim, in addition to our previously announced stationery and publishing licenses. Our iconic and unique patterns easily lend themselves to many products in our target areas of home, fashion and beauty, and we expect to announce even more partnerships in the future in those areas. As a reminder, the revenue and net income implications of these deals are not material this year or next year. But we are excited about the expansion of our products through licensing to increase our brand exposure, acquire new customers, provide additional distribution, drive traffic to our digital flagship, and to position us for eventual international growth. Let me take a minute to update you on distribution. As you know, we opened our SoHo in Hawaii full-line stores in the third quarter, bringing our full-line store count to 114. The SoHo store with its innovative design elements and array of exclusive and limited addition products is a key part of our marketing strategy, elevating our brand and showcasing Vera Bradley to consumers all over the world. We also completed the remodel of our Jefferson Pointe Store in our hometown of Fort Wayne and refreshed 12 of our higher traffic, higher volume full-line stores with our new branding, including storefront, facade, logo and interior changes. In addition, we rebranded the facades of our 15 newest full-line stores, so that about a third of our fleet now reflects our new logo and signage. We will continue to refresh program into next year. We opened one additional factory store during the third quarter and our last store of the year in November, bringing our current factory outlet count to 46. We continue to focus on driving traffic conversion and sales in both our full-line and factory stores through must-have key items, support visual and in-store execution, strategic promotions, improved discipline and accountability, and engaging in-store events. The relaunch of our digital flagship platform, which is a key part of our distribution and brand transformation strategy will go live in the first quarter of next year. The new platform will allow for an enhanced ease of shopping and will offer incremental functionality, including among other things, additional navigation and search enhancements, strategic segmentation and personalization, and order online pick-up in store. Moving onto department stores. We are in over 350 Macy’s stores, including nine world of Vera Bradley lifestyle shops, and we are in approximately 40 Belk and 40 Bon-Ton locations. Including Dillard’s and Von Maur, our total department store count now is over 730. In the department stores, we continue to work on enhancing our brand presentation to focus on key item intensification and travel and to expand our lifestyle brand offering. Now, let me turn the call over to Theresa Palermo, our Chief Marketing Officer, who will give you an update on our rebranding and marketing efforts. Theresa?
Theresa Palermo: Thanks, Rob. Marketing is key to our brand transformation, as we improve brand perception, engage the consumer, increase desire for our brand, and ultimately grow market share. This call, we have been focused on attracting our new consumer as well as increasing engagement within our existing fans, and we clearly defined the role we play in her life, creating beautiful solutions that both solve challenges, as well as ignite her senses. Our fall marketing strategy focused on three key components; increasing brand visibility, igniting a social movement, and building brand loss. We activated our vision, there were new branding and evolved the visual identity; store redesigns and inspiring, targeted, and integrated marketing campaign, with a mix of digital, social, experiential and print advertising. This year’s campaign offered a heavier emphasis on influencers, social, mobile, and video content in years past. This media mix allowed us to both reach her in a high-impact format, as well as leverage micro-targeting to speak to her in a truly personalized and individualized way. Our national advertisement have appeared in People StyleWatch, InStyle, Glamour, Cosmopolitan, 17 and Teen Vogue. Our online and digital investment include Hulu, Pandora, the Condé Nast Network and many more. We are continuing to intensify our influencer marketing partnering with names like Miss Universe Olivia Culpo; dancer, singer and actress Julianne Hough; and rising country music star Kelsea Ballerini. We were specially excited when our Gallatin Sidesaddle Crossbody was recently chosen on the 2016 Oprah’s Favorite Things list. Our good to be a girl campaign has already over-delivered on initial projections and generated over 424 million targeted consumer impressions in the third quarter alone. We are building awareness and have been very encouraged with the initial consumer engagement. So we know that brands don’t transform overnight. Vera Bradley has held a specific place in her life for over 30 years. It will take us more than a few months to expand her understanding of our brand and build passion with a new generation. Our product has been evolving for sometime. However, we only began our implementing our new brand strategy in its entirety this third quarter. We know, we still have a lot of work to do, but are confident, we are on the right path. Leather and solid iconic styles are helping attract our target consumer to the brand and are creating more brand occasions for her. Consumers and influencers alike are loving, mixing and matching cotton and leather together. Stories of female empowerment stores is good to be a girl campaign are helping generate brand awareness and positive consumer sentiment. New store environments are helping consumers understand the role of our brand and how our products can play in a more modern and fresh context. As we now pivot to focus on holiday gifting, we will continue to be targeted and strategic in our marketing efforts, celebrating the amazing power of women and the power of the Vera Bradley brands to bring her new and innovative beautiful solution. Rob?
Robert Wallstrom: Thanks, Theresa, for the marketing update. And operator, we will now open up the call to questions.
Operator: Thank you. Today’s question-and-answer session will be conducted electronically. [Operator Instructions] And we’ll take our first question today from Randy Konik with Jefferies.
Randy Konik: Great. Thanks a lot. Quick question, I guess to start. Can we get some more perspective on the – this the independent, I guess, specialty channel? When you look at that business, can you just remind us of the size of the business besides the number of the accounts, what’s going on there? Are you seeing any type of impact potentially from geographical overlap of more distribution in the bigger kind of a department store accounts, or anything like that? Just trying to get some sense of what you think is impacting that channel, how long-lasting, is that impact et cetera? Thanks.
Kevin Sierks: Yes. Thanks, Randy, this is Kevin. I’ll start out, and then I can turn it over to Rob. But we have about 2,600 accounts, a lot of the reduction continues to be from a comp perspective. So it continues to be retailers continuing to reduce their stock in their stores and order less from us, that’s the biggest impact. And we have had trouble trying to stabilize that. We feel like we are seeing some good things with some big accounts. So we’ve seen some stabilization and even some comp growth from some of our big accounts, which has been encouraging, but nevertheless, it’s not throughout the chain yet.
Robert Wallstrom: And I think what I would add is a couple of things. In the specialty channel part of what we’re seeing is kind of the destocking that we’ve seen also begin to happen in the department store growth. So we’ve had an overall kind of wholesale softness out there. As we look at what’s going on in the specialty channel, they also are really reacting to what’s happened in the overall retail environment in terms of what’s happening with multiple brands in their store and the pressure that that puts on independent retailers. And what we know from our own business is that, our focus to kind of bring new customers in and reestablish the full-price positioning of our brand is, what’s critical. We have seen, as we’ve opened up new distribution in markets, we’ve seen some impact in terms of to our specialty store. But the impact is also being felt in areas, where we don’t have that additional distribution. So we believe a lot more of it has to do with the macro environment, what’s happening overall in retail right now. The level of promotional activity that’s in the market is very hard to the specialty store operator to operate within.
Randy Konik: Got it. And I guess my last follow-up, if possible. Just holistically, how do you think about the most efficient, or optimal channel distribution from your perspective, if we look across e-com, the department store channel, the specialty channel, and then your own retail channel? How do I think about, what you want the optimal distribution pattern to be? Thanks.
Robert Wallstrom: Yes. As we look at the long-term distribution, we believe that given our digital flagship launched and really letting e-commerce to lead the way as we go forward is by far our most important channel, because we believe that that’s where the consumer is experiencing brands and bringing brands to life. So we’re very excited about the digital flagship launch in first quarter of next year, and we believe that will be critical. But in terms of the rest of the distribution channels, we believe that there really is an advantage in having a balanced approach between having distribution in specialty stores, which are really focused on kind of this main street concept that we talk about and how our brand started and localized and it allows us to get in the smaller markets particularly. And at the same time having a presence in department stores what we know from our consumer research 50% of all of her purchases are happened in department stores. We think that’s an important place to have a presence. But at the end of the day, we believe that a balance between our own direct-to-consumer network running at about 70% of our business to our wholesale business, about a 30% of our business is close to where we feel the optimal level will be.
Randy Konik: Thanks so much.
Operator: And we’ll take our next question from Oliver Chen with Cowen and Company.
Oliver Chen: Hi, thank you. On the specialty account channel for the road ahead here, should we expect it to be relatively cautious for the next 12 months just given what you’re seeing there? And were you happy with how specialty accounts felt about the new brand positioning? Should we understand that that may have had impact in terms of how cautious spending there, or not read into that too much? And then also, I think, as we – I’m trying to understand one point might be dissecting, how you feel about the retail environment versus where your product assortment is in helping us disaggregate those. Are there areas in your product assortment that you still feel like or have lower hanging fruit from what you can improve? Thank you.
Robert Wallstrom: Great. Thank you, Oliver. So let me answer first of all on specialty. I think, as we go forward on specialty, we – I think your words in terms of taking a more cautious approach going forward, I think, it’s true. I think as they are rebalancing the business, there’s pressure. I think what is encouraging for us to see though is in our top accounts, the ones that have really taken a very aggressive approach to drive in the Vera Bradley brand in their store, repositioning with the new branding, new shop layout, marketing it, keeping a very clean merchandise assortment, focusing on in the new products, they are having success. I think that part of it is, we work with all the independent retailers to get everybody up to that kind of aggressive forward look to build the brand back up is really where our opportunity is. So we’re trying to work with them account by account to get each of their businesses back into the healthy column. But I think caution is a good word. In terms of the new branding impact, I’m actually not at all from, I think, what you’re suggesting was potentially a pullback. Actually, what we heard from them was a lot of positive reaction to the new branding, where they continue to tell us that they’re looking to bring a new customer into the Vera Bradley brand. The journey that we’re on in terms of bringing new customers into the brand to changing the perception of customers that Vera Bradley has something to offer a wider customer range is really the same path that they want us to be on and they are very supportive of that. So I would not read anything into it in terms of the new branding position. They’re actually excited about that. In terms of our assortment and in terms of how much is macro and how much of it is our own merchandise, and I’d answer in a couple of ways. One, we definitely know that the macro environment is very challenging. We’re – we watch all the data. We look at what’s going on in the handbag category. Overall, we look at what’s going on in the handbag category in the department stores and kind of the destocking that’s happened in the department stores. We know that there’s a lot of macro pressure. For us, as we look about micro couple of things that we are very focused on. One is, really getting the optimal balance between our channels, particularly from our full-price channels and our factory channels that’s an area that we’re focusing on and really looking at inventory levels in detail and some opportunity there. The second area that we’re really focusing on is, we’ve spent the last couple of years really bringing new innovative fabrications into market. And we did that to really begin to get a new customer to look at our brand. And all of our research says that that part of it is causing her to rethink Vera Bradley and be more encouraged to come in and begin to take a look. But now where the team’s focus has been and we’ll start bringing to market really going into next year is a lot of innovation around cotton and making cotton very fresh and very new and that, it’s not just about a new pattern, but it’s going to be about how we really design and drive our cotton business, because that is still the majority of our business and will continue to be in the future. And getting that refreshed and re-excited, we think is really the key as we go into next year.
Oliver Chen: Okay. And Rob, on the full-price department store, your own stores, what – can you highlight what’s the main issue or opportunity there? Was it – is it a traffic consideration in terms of a little softer than you would have liked on the full-price department store channel – full-price own store channel?
Robert Wallstrom: Yes, actually when we look at our full-price stores, our full-price stores quarter after quarter have been improving in their comps. So they’re marching in the right direction, which is one of the things that gives us confidence in the long-term strategy. So our full-price stores are getting stronger. What happened is the factory channel has been getting softer relative to where it’s been. So the pressure that we’re seeing in the macro environment in the outlet channels part of where that pressure is, it’s not been in the full-line. The full-line is getting a sequential improvement in their comp performance.
Oliver Chen: Okay. And lastly, the specialty account channel, which is very difficult for you to forecast historically. But was there a way you could have seen, it’s coming, or it’s just kind of happens, because it’s hard to tell how your relationships around the country and the specialty accounts may practice ordering techniques? I’m just curious as you diagnose what happened that there was a methodology, or an ability for you to glimpse and how those trends were formulating?
Robert Wallstrom: Yes, I think that’s one thing that we definitely continue to look at from our side. But you’re right that it’s not easy, because you’re doing with 2,600 accounts as opposed to your major count relationships, which you can obviously have a lot more insight in terms of how each buyer is thinking, trying to do that with 2,600 accounts is a little bit more challenging, and part of what impacts them, it’s not what’s happening in Vera Bradley, but what’s happening with their businesses overall, because as we even look at accounts that close more often than not over half the time, it’s usually due to their own performance for their entire stores. So it is a harder place for us to look at. I think, we are always challenging ourselves to get smarter and more insightful and we definitely are working hard on that.
Oliver Chen: Okay. Good job on the inventory management and the new brands and best regards to the holiday.
Robert Wallstrom: Thank you, Oliver.
Operator: And we’ll take our next question from Eric Beder with Wunderlich Securities.
Eric Beder: Hi, good afternoon – good morning, excuse me. Can you talk a little bit about, you mentioned it in – on the last call, but I would like to get a little bit deeper in terms of the outlet channel, it’s and we’ve heard this from other people. So how do you fix the outlet channel to make it a better value proposition for you and just make it a value proposition, I guess, for the customer?
Robert Wallstrom: Eric, thank you for the question. I think there’s a few different answers to that. First of all, what we’re seeing in the outlet channel is two things. First of all, we are seeing a weakening of traffic overall, which is one of the drivers in the weaker performance. And the second thing we’re seeing is a level of promotional activity, particularly within the handbag sector that is very aggressive. And so, up to recently, we have been able to compete in that, but what we felt is a lot of pressure on the pricing side. So one area that we are trying to address is, is how to sharpen the price point offering for the consumer. The expectation level in terms of discount level is getting higher and we’re trying to react to that. And so we’ve got a lot of work going on internally and how to do that and react to the changing market dynamics. In terms of the traffic overall, we’re monitoring that and really trying to find out where that stabilization level is in the outlet channel.
Eric Beder: Okay. And could you kind of give us, Sue, when you look at the higher-end product that you saw in the full-price stores, the leather goods and other pieces, so how have they done versus the rest of the store? And are you going to kind of expand their percentages, where you’re kind of happy with where you are with them right now?
Sue Fuller: Yes. So right now, we actually have been pleased with where our leather business has been trending. Just as a reminder, it is and will continue to remain a small percentage of our business, but we are encouraged that our consumer does continue to react to it. And so, we believe that the best course of this action is continue to focus on reinvigoration of our signature cotton and that’s really where we’re putting our focus for the remainder of this year and next year.
Robert Wallstrom: And I think just to give you a little bit more color on that, I mean, our leather business in our full-line stores, we always said, we were targeting in about 10% of our business and that’s basically we were ending up. So it’s kind of doing exactly what we thought. As we do our customer focus groups, we continue to hear from consumers that it’s definitely something that’s bringing her in, it’s getting both our lapsed customer and a new customer to reconsider bureau, because we’re addressing her needs for the work environment. So we’re very encouraged by those reactions. And then we’re also learning, as the team has been designing and launching by their collections, I think, we get more and more on target for what our customer want. So we launched our Gallatin Collection this fall, which was reacting to her desire for a more casual leather line that could kind of do a good crossover between casual and into work. And that reaction has been strong and we’re beginning to take those lessons and really work it through the entire leather collection. So I think that works out about the future. We think it’s an important part of the business, but we do believe it’s only a small part of the business. The great success of what our consumers continue to come to us as a first choice, our things around our heritage, so our cotton fabrication, our Vera Vera our solid microfiber collection, as well as our lighten up collection, those are really the big drivers and the big volume drivers for us. So that’s where our focus is in terms of growing – returning those to a growth trajectory.
Eric Beder: And one more, the cotton prices, when should we expect to see as the stores these innovation and trends and get a feel for how this new cotton focus is going to be?
Sue Fuller: Yes. We’ve been testing some of it in our stores during Q4 and you will start to see in the first-half of the year our new Hadley collection that will be debuting.
Eric Beder: Okay. Thank you. Good luck in the holiday season.
Sue Fuller: Thank you.
Robert Wallstrom: Thanks, Eric.
Operator: And we’ll take our next question from Mark Altschwager with Robert W. Baird.
Mark Altschwager: Good morning. Thanks for taking the question. I wanted to follow-up a real quick on specialty. So, I think, 2,600 doors is the number that you mentioned, Kevin, so I think that door count is down about 25% from a few years ago. Rough numbers, sales within specialty are down by well over half. So I guess, the – I mean, the question is that there need to be a more proactive reduction in the door counts in order to ensure that Vera Bradley remains a profitable product line, or a significant enough product line, such that the accounts are investing in the marketing of the brand, I guess, that’s the first part. And then you separately, how much does that reduction have to do with the strategy to grow distribution through Amazon? Just wondering if Amazon sales are maybe displacing sales that that may have been happening through the specialty channel?
Robert Wallstrom: Mark, thank you for the question. First of all, in terms of focusing on specialty channel, we are definitely very focused on our top accounts, and how we really grow the top accounts and making more meaningful and really improving the brand presence. And then we do agree that we are spending a lot more energy really building on our top account relationships in our presentations, so that’s really important. In terms of the Amazon relationship, the Amazon relationship for us is so relatively small compared to our total brand. So it’s something that we are working on and we’re working on that relationship in that assortment. They’ve been a great partner in us in terms of really taking control of our brands, really clean up unauthorized distribution out there. And so, we still believe that Amazon, as we all know, being the number one search engine, we think it’s important that we control our brand in the Amazon space. But we’re not seeing it from a revenue standpoint they’ve been significant enough to really be displacing our specialty store channel. So we don’t believe that that’s a primary driver.
Mark Altschwager: Thank you. And if could also ask on inventory looks to be in very good shape today. But maybe just reconcile the expectation for some inventory build into Q4, with the guidance for some sales deceleration, I think, inventory typically comes down sequentially in Q4. So just – I was hoping for some more color there, and how we should think about the implications for gross margin in the first-half of fiscal 2018?
Kevin Sierks: Yes. Sure, Mark. So really the reason we’re going to build inventory a little bit in Q4 is really to prepare for Q1 of next year. In hindsight, looking at our inventory levels for the end of Q3 and even going into Q4, we’re little short on our retirement inventory, as it relates to the web specifically. So we have that inventory starting to come in at the end of this quarter and then into Q1. So that by the end – by the time we get through Q1, we’ll feel pretty good about our inventory balance. So I think that number between $100 million and $110 million looking forward is the right number to be at. I think the team has done a good job managing that inventory number down. But we were surprised a little bit in the back-half of this year, as it relates to web sales for the retirement. On the other hand, our full-price selling on the web was a surprise. The other way, it actually performed relatively well in Q3. But our retirement sales on the web were a little short, so we’re going to firm up the inventory as we exit the year. And then…
Robert Wallstrom: I’ll just add a little bit to what Kevin was saying is that, I think, the other one that the fact that we’re looking at the long-term performance of the brand is that, we are seeing full-price growing on the web. We’re seeing the full-price get better relative to retirement even in our full-price channel. So our full-price performance is leading the way. The trick has been the retirement levels that we have at our cotton inventory have been lower than they needed to be. And part of it was, because we were planning on the web, repositioning with the digital flagship in fourth quarter to be driven strongly through full-price. And when we had that shift moving from the third quarter launch in the first quarter of next year, it definitely cause more pressure on us in terms of managing some of that retirement volume.
Kevin Sierks: And then I think you mentioned margins in the first-half of next year, obviously, we’re not given guidance yet for next year and more to discuss in March. But we feel good about being able to manage the cost part when it comes to margins in terms of efficiencies in our supply chain, in terms of negotiating with our suppliers better costing, we feel really good about that. Obviously, the promotional environment is pretty intense right now, so that’s a little bit more outside of our control. But overall, over the long-term, we feel good about margins.
Mark Altschwager: Good. Thank you for all the detail and best of luck over holiday.
Kevin Sierks: Thanks, Mark.
Robert Wallstrom: Thanks, Mark.
Operator: [Operator Instructions] We’ll go next to Steve Marotta with CL King & Associates.
Steve Marotta: Good morning, everybody. Thank you for taking my question. As it pertains to the number of accounts just a little housekeeping here, there were 26 accounts currently, what was the number last year please?
Robert Wallstrom: Kevin is looking that up right out.
Kevin Sierks: Yes, let find that real quick. And then, I think, last year, we were right around 2,600. It didn’t change very much, so very small changes compared to the prior year.
Steve Marotta: Okay, that’s helpful. And I know that you’re not giving guidance into next year, but with the such deep drop off in the indirect channel, and I understand that conservatism looking forward, is it possible that that’s a number that could stretch into the first-half of next year, or at least to similar magnitude?
Kevin Sierks: In terms of the indirect business been down?
Steve Marotta: Correct.
Kevin Sierks: Yes, we’re not giving guidance on that until March, because there’s still lot of work to be done between now and then, and there’s a lot of holiday selling to focus on as well. So we’ll definitely update you in March. In terms of the number of accounts, the 2,600 though, we wouldn’t be surprised if that came down to 100 or 200 accounts over time. Typically, you see a fallout in January, as some of these small accounts get through holiday, try to make the business work, and then have to close the door. So we wouldn’t – it wouldn’t surprise us to go down maybe 100 accounts or 200 accounts over the long-term, but definitely not given guidance as of yet for next year.
Steve Marotta: Okay. One more question on next year that you probably won’t answer, but that’s okay, as far as that pertains to unit openings next year, what are your thoughts on full-price and factory stores, given the backdrop of the current environment?
Kevin Sierks: Yes, so we opened 10 stores this year, and as we look to next year, we probably see a number between five and 10. So we don’t expect to open a lot of stores next year until we see comps start to turnaround positive and then obviously, we’d reconsider. But for now, we’re going to keep those opening on the low-end.
Steve Marotta: And that would be inclusive of both factory and full-price?
Kevin Sierks: That’s correct.
Steve Marotta: Great. That’s helpful. Thank you very much.
Kevin Sierks: Thanks, Steve.
Operator: And we’ll take our next question from Bill Dezellem with Tieton Capital.
William Dezellem: Thank you. I have a group of questions. First of all, would you please talk a little bit more about how your new fall product resonated with customers. And then secondarily, you mentioned the importance of cotton and the emphasis you’re going to be putting on reinvigorating that over the course of the next year. Would you dive further into your strategy to reinvigorate that cotton line please?
Sue Fuller: Yes, I can start with first. So speaking a little about the new fall product, we were happy with kind of back to campus business, which is obviously an important portion of our business and in addition with the launch of our Collegiate line. We also saw strengths in our crossbodies and some of our smaller fashioned accessories. So, and in terms of pattern strength, we also – in collection, we also – we’re encouraged for fall. In terms of our cotton strategy overall, cotton remains the most important portion of our business. And we hired a new designer that started with us about six months ago, and that has been the sole focus of the team. We’re looking at new ways of stitching. We’re looking at new portions – proportions of silhouette. So you will see several new collections coming out over the course of the next several years, we’re very excited.
Robert Wallstrom: Yes, the only thing I would add to what Sue saying is that, when we brought in our new VP of Design Beatrice that we really had her focus on reinvigorating cotton, and she’s brought a really kind of fresh perspective working with the team. How do we really work on modernizing the silhouettes, modernizing all of the detail, and so she has a real fine eye to the iconic details, the zippers, as opposed to all of that to develop a real consistent and more modern take on it, in addition to continuing to look at not only the patterns – the quilting patterns that we use, but also looking at the actual color patterns themselves and how do we get this great blend between our heritage, but at the same time with kind of a really modern hand to it. And so that is definitely our primary focus of the team and we’re excited about some of the product that’s coming out as we go into next year.
William Dezellem: And are you feeling as though, you really have an opportunity to make a noticeable difference to your customer? And I asked that question from a male perspective, where maybe I might not see the difference, or find it meaningful enough?
Sue Fuller: Yes. Actually, we feel very good about and the fact that we will be making a meaningful difference to our consumer when she not only walks into Vera Bradley, but also into our wholesale channel as well. We’re very excited about what Beatrice and the team are focused on in terms of reinvigorating the core.
William Dezellem: That’s helpful. And then lastly, the retirement product has been below plan on the web. Does that imply that some of your past patterns were less desirable, or is that something completely unrelated?
Robert Wallstrom: No, I think as we look at the retirement on the web, I think the primary thing is that, our retired cotton product continues to sell very well. And so we continue to move through the retired cotton product very quickly and move through it in some cases a little bit faster than we had anticipated. I think that where there’s a difference in rate of sale as some of our newer fabrications go through the clearance channels, it doesn’t move quite as quickly. And so keeping the right balance between the new fabrications and the core fabrications is the journey that we’re learning right now and then what impact us a little bit as we got into the third quarter of this year.
William Dezellem: Great. Thank you, both.
Robert Wallstrom: Thanks, Bill.
Sue Fuller: Thank you.
Operator: And we’ll take our next question from Dana Telsey with Telsey Advisory Group.
Dana Telsey: Hi, everyone. Can you please tell a little bit about SKU count, the changes that are being made. How do you think about the SKU count by category and also by fabrication and what could that mean to gross margin over time? Thank you.
Sue Fuller: Hi, Dana, it’s Sue.
Dana Telsey: Hi, Sue.
Sue Fuller: Our SKU count remains relatively flat by classification of business and by overall fabrication this past season. And as we look forward, I would say, we’re continuing to monitor how the consumer is reacting to our mix of product and mix of fabrications and we will continue to adjust accordingly.
Kevin Sierks: And Dana, maybe to add to that, as we come out with some of these new product categories at times they’re below the average margin that would like them to be, jewelry is a good example. But then the next launch of jewelry is actually going to get up to about our average. So a lot of times, we don’t have the scale when we launch the product initially, but over time the goal is to continue to reengineer the product, or to get scale and we’ve been able to get the margins up over time.
Dana Telsey: Thank you.
Robert Wallstrom: Thanks, Dana.
Operator: And we’ll go next to Brian Gustavson with 1060 Capital.
Brian Gustavson: Hi, guys. I was wondering if you guys talked about spring orders for 2017, I just got in the call recently?
Kevin Sierks: You just wondered about spring orders?
Brian Gustavson: Yes, because I heard you talk about new products, so I’m just kind of curious if that’s something you might see in spring orders, or have you talked about spring orders, do you expect wholesaler orders to be positive some of these new products?
Kevin Sierks: Yes, if you really look at – yes, a good question, Brian. If you really look at our spring orders, it really relates to our January launch. And so that is baked into our guidance for Q4, and we did see softness across the specialty sector, and that’s why it’s down pretty considerably in Q4. We heard a lot of anecdotal good information that they do love the product. But I think they’re are all little nervous about holiday and their orders came up soft. But we still feel really good about the product offering for spring. But nevertheless, hopefully, the specialty, we’ll have to see the better sell-throughs before they start to reorder it.
Robert Wallstrom: Good. I think what I would add just to give you a little bit more color on that is, we’ve brought the new lines out in front of our retailers in terms of editors, in terms of market influencers. We continue to get very, very positive feedback in terms of the direction of the product. I was looking going forward a lot of excitement around the brand are the journey that we’re really on is to get that same level of excitement and awareness in the consumer mind. And getting the consumer to see it, obviously, it takes a little bit more effort. We can’t get all of them into our showroom in New York to get the full immersive experience, we wish we could. So through marketing, it just takes a little bit more time to begin to change perception. And I think that’s really the journey we’re on, and that’s the journey that we hear from our retailers as we like the direction. We just need to get consumer caught up to the new direction of the product.
Brian Gustavson: Gotcha. And just on the store openings, you talked about five to 10, how many closings are you planning, or is that – are there no closings?
Kevin Sierks: We’ll always assess kind of the stores from a productivity perspective, profitability perspective, and then the marketing that it brings nothing to announce right now. But we’re always looking at the stores and what they bring in and whether or not we need to close some. But the five to 10 is both full-price in factory, it will probably be a little more skewed towards factory than full-price for next year.
Brian Gustavson: Gotcha. Thank you, guys.
Kevin Sierks: Thanks, Brian.
Sue Fuller: Thank you.
Operator: And at this time, I’ll turn the call back over to our speakers for any additional or closing remarks.
Robert Wallstrom: We continue to make progress in evolving and strengthening our product distribution and marketing. And although, it is taking longer than we would like to turn the business around, I’m appreciative of our entire team and their diligent and collaborative efforts to transform Vera Bradley into an even stronger company, and thank you for joining us today. We will continue to work to improve performance and enhance shareholder value and we look forward to speaking to you on our year-end earnings call in early March.
Operator: Thank you. And that does conclude today’s conference. Thank you for your participation. You may now disconnect.